Operator: Good morning, and welcome to JBS S.A. and JBS USA Fourth Quarter and the Year of 2024 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. As a reminder, this conference is being recorded. Any statements eventually made during this conference call in connection with the company's business outlook, projections, operating and financial targets and potential growth should be understood as merely forecasts based on the company's management expectation in relation to the future of JBS. Such expectations are highly dependent on market conditions on Brazil's overall economic performance and an industry and international market behavior, and therefore, are subject to change. Are present with us today, Gilberto Tomazoni, Global CEO of JBS; Guilherme Cavalcanti, Global CFO of JBS; Wesley Batista Filho, CEO of JBS USA; and Christiane Assis, Investor Relations Director. Now, I will turn the conference over to Gilberto Tomazoni, Global CEO of JBS. Mr. Tomazoni, you may begin your presentation.
Gilberto Tomazoni: Good morning, everyone. Thank you for joining us today for our earnings calls. Our 2024 financial results reaffirm the positive outlook we set for the year. We closed the period with a record net revenue of US$77.2 billion, reflecting 6% growth compared to 2023 and the net income of US$1.8 billion. EBITDA totaled US$7 billion with a consolidated margin of 9.3%. These figures highlight the strength of our global multi-protein platform and the precision of our operational management, which enable us to capture opportunities across a wide range of market cycles and geographies. With a sharp focus on operational excellence, we realign an underperformance business. Despite headwinds in the U.S. market, JBS Beef North America delivered a result that outperformed 2023. In Brazil, Seara posted a strong recovery, reaching a 19.8% margin in the fourth quarter. This performance reflects gains from the commercial and operational improvements made throughout the year. Though we still see room for improvements, particularly in service level, pricing and product mix, Seara has already issued US$460 million in Agribusiness Receivables Certificates is across -- including a 30-years note in February 2025, the longest-term debt ever issued in Brazil capital market. It's important to highlight that 2024 market, the second highest level of cash generation of JBS history, driven largely by our chicken and pork operations. JBS U.S. Pork delivered a consistent performance throughout the year, closing the fourth quarter with 13.5% margin, an increase of nearly [7] (ph) percentage point compared to the same period in 2023. Pilgrim's recorded the best performance in its history. Margin grew from 9.8% to 14.7% in the Q4, while chicken consumption in North America hemisphere typically slowed during the period, demand in the U.S. remaining strong across both retail and foodservice channels. Pilgrim's success was driven by the disciplined execution of its key customer strategy and well-diversified portfolio, allowing the business to navigate in a favorable market environment with agility and strength. Our geography and protein diversification also allowed us to benefit from a favorable cattle cycles in Australia and Brazil, even as margin in U.S. remained under pressure due to the region's current cattle cycle. In Australia, where the cycle is expected to remain positive in the coming quarters, we posted 10% margin for the year, supported by growing export, especially to U.S. In Brazil, JBS posted 7.7% margin from the year, driven by the record beef volume, growth in both domestic and international markets, productivity gain and new export certifications. Our financial positions remain solid. As we shared last year, the company leverage ratio fell to a more comfortable level, dropping from 4.42 times to 1.89 times EBITDA in U.S. dollar between Q4 2023 and Q4 2024. In January 2025, the company issued US$1.75 billion in bonds achieving the lowest spread over U.S. treasury ever recorded for our Brazilian corporate issuance. Last Friday, we also announced the repayment of US$850 million in bonds due in 2030. I want to emphasize that JBS continues to deliver sustainable growth and value for our shareholders. In October 2024, we distributed US$815 million in dividends. In January 2025, we followed an additional $0.17 per share, totaling US$380 million. Given the company's strong cash position and low leverage management has proposed or approval in the next general shareholder meetings, the distribution of $773 million equivalent at $0.35 per share to be paid following shareholders' approval. We remain focused on unlocking long-term value through the dual listing of our share in Brazil and the United States. The initiative will strengthen our corporate governance and expand our investor base, attracting institutional investors with significant allocation capabilities. We firmly believe that move will drive lasting value for our shareholders, team members and the areas around the world where we operate. Our global diversification strategy remains intact, supported by continuous investment in innovation and brand development, allow us to build more resilience and higher value portfolio. We also advancing in research and biotechnology to develop innovative products and solutions that enhance the productivity for our portfolio and support the development in alternative proteins. In Brazil, we are building the JBS Biotech Innovation Center, our new hub for biotechnology research and development. In 2025, we entered in the egg category, acquired 50% stake in Mantiqueira, South America largest egg producer, a move allowing our strategy of diversification, build brands and add values. We also announced US$200 million investment in two of our largest beef processing facility in United States, aiming at increasing operational efficiency and add value to our production. In Jeddah, Saudi Arabia, we are preparing to launch our third halal value-added processing plant in Middle East. In Brazil, we are finalizing the construction of a new pork processing facility and a prepared food plant facility. We are also moving forward with our investment plan in Nigeria. In partnership with the government and the local investor, we have developed a sustainable local supply chain to expand food production. Nigeria is one of the fastest-growth population in the world, today at 250 million and expected to reach 400 million by 2050, up from more than [2,005 million] (ph) today, according to [U.S.] (ph) projections. Our goal is to support the country in its effort to combat food insecurity. Each day, we are building a more resilient company, one of the consistent delivery -- strong financial results across market cycles. But what I truly said as a part isn't just our scale. It is our team in the ability to operate with the agility as a small company. To innovate, adapt, and our relentless pursuit of excellence in everything we do, always with a focus on execution. As we move forward, we will continue to invest in our unique platform to ensure lasting efficiency, performance and less volatility. Finally, we are particularly proud that even in a scenario where one-third of our business, JBS Beef North America, was operating at breakeven, we are able still to deliver following for our investors, short-term growth, 6% increase in net revenue, investment to drive future growth, we invested in CapEx $1.4 billion in 2024. Value creation of shareholders. We paid US$1.1 billion in dividends. We are investing in innovation to differentiate and expand margins. And with reduction of leverage and debt. Thank you again for joining us today. And now, I turn the call over to Guilherme, who will be -- walk you through the financial results in more detail. Guilherme, please, go ahead.
Guilherme Cavalcanti: Thank you, Tomazoni. Let's now move onto the operational and financial highlights of the fourth quarter of 2024 and the full year 2024, starting on Slide 11, please. Net revenue for the fourth quarter was a record totaling $20 billion. Adjusted EBITDA totaled $1.8 billion and represents a margin of 9.2% in the quarter. Net profit was $413 million in the quarter, excluding from non-recurring items, adjusted net income would be $970 million. It's also worth mentioning that the financial result was impacted by derivatives in the amount of $162 million of which $142 million refers to the hedge operation to the inflation to CDI swap of the local debentures. It is important to highlight that the cash impact of the fourth quarter 2024 was only $7 million, assuming that the current forward curves are maintained a similar cash impact is expected in the coming quarters, although this amount may vary depending on the evolution of the market curve. On Slide 12, we have the highlights of the year. Net revenue of 2024 was also a record totaling $77 billion. Adjusted EBITDA totaled $7.2 billion and representing a margin of 9.3% for the year. Net profit for 2024 was $1.8 billion. Excluding the non-recurring items, the adjusted net income would be $2.6 billion for the year. Moving on to the next slide. Operating cash flow in the quarter was $1.8 billion. Free cash flow in the quarter was $906 million. On the next slide, we have the cash flow for 2024. Free cash flow was $2.3 billion and increasing approximately 400% year-over-year. It is important to highlight that we unwind approximately $650 million in receivable discount in the fourth quarter 2024 and approximately $450 million in the year. If we exclude this effect from the quarter and for the year, free cash flow would have been $1.6 billion in the quarter and $2.8 billion in 2024. This amount was very close to the company's historical record for free cash flow and in line with the 2024 breakeven EBITDA exercise of $3.5 million in effective cash tax rate of 25%. The strong free cash flow in the period reflects the strength of the diversified platform, the operational performance of the business units and our financial discipline. For 2025, without considering a guidance, but doing the EBITDA breakeven exercise of free cash flow in dollars, we can consider $1 billion of net financial expenses; $500 million in leasing expenses; $650 million in biological assets, disregarding possible variations linking to the grain prices; a total capital expenditure of $2 billion, half of which will be for expansion mainly in prepared foods, better use of byproducts in the U.S. and increased efficiencies and the other half for maintenance; ramp-up of working capital of $250 million; and effective cash tax rate of 25%. Therefore, the free cash flow breakeven is approximately $4.5 billion, so just as an exercise, if you repeat the 2024 EBITDA in dollars, the free cash flow for the year would be approximately $2 billion after investing $1 billion in organic growth. Moving on to the Slide 15. The net debt for the year ended at $13.6 billion, a reduction of $1.7 billion compared to the previous years, reflecting the strong free cash flow generation in the period. I also would like to highlight some advances we have made in liability management, which allowed us to reach an average term of approximately 13 years at an average cost of 5.4% and significantly reduced the short-term debt. We issued three local debentures of Agribusiness Receivables both at JBS and Seara, which together with the Seara's receivables issued in March 2025, totaling $780 million. It's worth noting that we made the first issuance of the agricultural receivables of a 30-year term. This year has been the longest operation in the Brazilian capital markets. In December, the company also created its first Commercial Paper program to issue up to $1 billion, generating a new source of funding. Finally, in January 2025, we also issued bonds totaling $1.75 billion with the demand reaching approximately $10 billion. Leverage in dollars in 1 year came down from 4.42 times in 2023 to 1.89 times in 2024. The decline is due to the expansion of the EBITDA and the reduction of the net debt due to the free cash flow generation. Furthermore, if we exclude the effects of the receivable discount mentioned above, leverage would end up the year at approximately 1.8 times. Low leverage, combined with strong cash generation allowed us to provide an even higher compensation to shareholders. Thus, considering the payment of dividends in January, we distributed $1.1 billion, equivalent to 8% dividend yield. Additionally, the company's management proposed for approval at the shareholders' meeting, the distribution of $773 million, equivalent to $0.30 per share to be paid after its approval. It's also noting that we still have $0.17 to be distributed if the dual listing is approved. In continuation of our liability management strategy, last week, we also announced the repurchase of $850 million in bonds. Finally, we also reopened our share purchase program, which may reach up to 130 million shares. Even with the proposal for the payment of additional dividends that will be deliberated at the shareholders' meeting and the dividends promised after the implementation of the dual listing of $0.16 per share, we should remain within our comfort zone of our indebtedness policy with net debt-to-EBITDA ratio between 2 times and 3 times. Over the last six years and in 2024, we have demonstrated a balanced approach to growth and return to shareholders, being $4.6 billion in organic growth, $3.3 billion in acquisitions, $4.1 billion in dividends and $2.8 billion in share buybacks. It's important to mention that all of this amount was financed with the company's cash generation. I will now briefly go through the business units. Starting with Seara on Slide 17, net revenue growth for the year was 15%, while profitability grew by a significant 13 percentage points, reaching 17.7% EBITDA margin, a record for the year. This result is a consequence of a better commercial and operational execution, strong global demand for poultry and pork and expansion of the value-added portfolio. Net revenue growth in the comparison between fourth quarter of 2024 and fourth quarter 2023, was 27%, while profitability grew a significant 13.4 percentage points, reaching 19.8% EBITDA margin. This EBITDA margin result is a record for the fourth quarter. Moving on to the Slide 18, in 2024, JBS recorded net revenue 23% higher than 2023, driven by higher volumes sold, mainly in the international market. This result is due to a strong global demand in addition to the favorable beef cycle in the period, resulting in greater availability of animals for slaughter. Thus, the EBITDA margin reached 7.7%, an increase of 3.5 percentage points year-over-year. In the fourth quarter 2024, JBS Brazil recorded net revenue, 36% higher than the fourth quarter of 2023, driven by higher volumes sold in the international market and prices in the domestic market. Thus EBITDA margin reached 6.6%, an increase of 0.8 percentage points year-over-year. Moving on to the Slide 19 and now we're speaking in dollar and U.S. GAAP, JBS Beef North America's net revenue in 2024 grew 4% compared to the previous year. The improvement in profitability in 2024 despite a more challenging cycle than in 2023 is the result of the successful execution of the company's strategy. Compared to the fourth quarter of 2024, net revenue grew 2% year-on-year with an EBITDA margin for the period of 1.3%. Profitability continues to be pressured by the challenging beef cycle, which has kept the price of live cattle at high levels. On Slide 20, we have JBS Australia. In the annual comparison, the 7% revenue growth is the result of higher volumes sold in the beef exports in addition to the increase in average prices. EBITDA margin reached 8.8% and increasing 2 percentage points in the annual comparison. In the fourth quarter, 2024, revenue growth of just 2%, reflects the impact of operational disruptions in the Salmon unit due to the weather consequences, but -- which were offset by the performance of the beef. Turning on to the JBS USA Pork. Net revenues for the year grew 5% year-over-year, reflecting high prices and volumes, driven by strong demand. Our consumption is also being supported by the average price of beef, which remains at high levels. Net revenue for the quarter fell 5% compared to the fourth quarter 2023, reflecting lower volumes sold in the period given that the quarter had one less fiscal week. Pilgrim's Pride, as highlighted on Slide 22, recorded a 3% increase in net revenue for the year. Throughout 2024, the company's results reflected strong demand for chicken in the various regions in which it operates and successful execution of its strategy. The EBITDA margin for PPC for the year was 12.4%. With that in mind, I would like to open for our Q&A session.
Operator: [Operator Instructions] And our first question comes from Ben Theurer with Barclays. Please go ahead.
Ben Theurer: Yeah, good morning, Tomazoni and Gui, for taking space for some question. So, two ones to follow-up. So one, just really more like the market conditions right now in Brazil. Obviously, it was a very strong year, especially at Seara with strong exports, et cetera. Now, we've seen recently a little bit of more cost pressure with Brazilian corn and maybe also the meal prices going a little bit higher. So, any commentary that you have as to the ability to maybe pass on some of that incremental cost pressure that you're seeing on a year-over-year basis? And then, my second question is for Gui. As it relates to the -- just the different milestones listing in the U.S. Fair to assume that you've filed with the SEC, once approved, it's that 45 days and then you need to get the vote. And then, when do you think like that approval comes in? So, how should we think about it as a 3Q, 4Q event? So, anything that you can share as per timeline, that would be appreciated.
Guilherme Cavalcanti: Okay, Ben. So, I'll start with the second question. So, we did a filing yesterday. So then, we have a time for SEC to answer. If SEC doesn't have any more questions, then we can ask for the registration, then they have some time to grant the registration. With registration in hand, we can call the general assembly, as you mentioned, for 45 days. And once approved, in the general assembly, then we have the implementation period, there are also things that's not in our control as custodian of shares, so on and so forth. We estimate around 30 days, but this is something that's not in our control. So, given this, I think, in the best case scenario, I think Q3 would be the estimate for being already listed in the U.S.
Ben Theurer: Perfect.
Gilberto Tomazoni: And Ben, about -- you mentioned about depression of costs in grain. Nowadays, Brazil is paying a premium, the higher price in the world for corn is in Brazil. But this is -- I think this is a one-time circumstance because the Brazilian producer with this discussion of tariff and they are stopped to sell in order to wait for what happens in the short term. And I believe this taxation in the corn will be already in the price of the corn in Brazil. But this is one thing. The other side, if you look for the crops in Brazil and the planting conditions so far, so far because we are now at critical moment in terms of weather forecasts. If the weather forecast confirmed that it is okay in Brazil and U.S., we see a good perspective of stronger crop. And we see that the cost of the corn remains stable and not go up and down. Maybe there is opportunity for downside in Brazil. I believe that this when they be clear about this tariff, the price of the corn even more, I think, is that -- should be -- tenders will drop, not grow up. And with this cost, I think we are able to manage with the efficiency in our process and management mix and -- also a mix of channels and mix of portfolio. If you are able to manage that Seara is doing so well in the last quarter because the start -- the cost will be higher in that quarter. We see that we are faced -- of course, impacting the cost in the beginning. But I strongly believe that with the strong demand we have in chicken and pork domestically and in export, we are able to manage these costs.
Ben Theurer: Yeah. Perfect. I'll go back in the queue. Thank you.
Operator: Our next question comes from Andrew Strelzik with BMO. Please, Andrew, you may go ahead.
Andrew Strelzik: Hello? There we go. Good morning. Thanks for taking the questions. I had two. The first one is more specifically on tariffs and how you think the business is positioned with respect to potential changes in trade flows. Do you see tariffs as a net positive or negative for your more global business? And have you seen any impact to trade flows so far?
Wesley Batista Filho: Andrew, good morning. It's Wesley here. So, it's difficult to predict exactly what all is going to happen with tariffs because when you talk about tariffs, there's tariffs, then you have to -- there are many variables at the same time, there's counter tariffs. There is what's going to happen with exchange rates. I mean, there is many things. So, predicting -- many variables moving at the same time. So, predicting before it happens is very difficult. But given our portfolio of business, right, within North America globally, we think that we're best positioned in this industry to be able to take any benefits if there are any, and mitigate risks if there are any, to and be able to solve our operations -- we have operations in Canada, the operations in Mexico. We have operations in Australia and Brazil that can have some benefits as well depending on what happened. And also, we -- when it comes to the U.S. market, Andrew, obviously, the export part of our business is very relevant. But it's not the primary business that we have, right? So our main business is the domestic market, and we're confident about the U.S. domestic market. So all in all, I think it's difficult to predict. And we're going to need a few weeks with whatever tariffs come our way and to see what exactly the impact, and then, from there, see what's the impact. But again, having operations across many different countries really creates a unique situation that we can mitigate those risks.
Andrew Strelzik: Okay. That's helpful. And then, my other question is about the beef dynamics outside of the U.S. The Australia margins in the quarter were a little softer than we had anticipated. It sounds like that was not in the beef business. That was more on the agriculture business, but your outlook commentary sounds like you'd expect margin expansion in Australia in '25. So I just want to make sure I understand what exactly is going on there. And then, you don't have the same type of outlook commentary for the Brazil Beef business. So, if you could just compare the outlook for Brazil Beef in '25 versus '24? Thank you.
Gilberto Tomazoni: In Australia, you heard the availability of cattle is there. In reality, we've -- was a climate challenge in Australia, significant rainfall in Queensland in the North drove cattle price up more than expected. In contrast, drought in the South, means softer process. We're also buying cattle in and Queensland, adding more demand for cattle and pressure on price. This was the reason. This was the reason, the cattle is there. Now, we see with this situation, we are -- we extend the positive cycle for cattle in Australia. And the demand for beef and lamb, very strong in Australia and outside of the Australia to export, we are very positive with the cycle of beef in Australia. In Brazil, I believe we found, at a moment, position in the market that there is a balance between the availability of cattle and demand from the market. I think what's positive is because Brazil increased around 18% more harvest in terms of cattle in Brazil last year. 18% is a lot. And why it was good because the sector processors were able to increase capacity and absorb the additional offer from the market. And that -- the price was down and up. Now, I think we reached a balance between the price of cattle in the market -- in the situation in the market because the demand in the market is very strong. Brazil is -- demand a lot. We increased the volume in Brazil, we increased our volume in export. And we see that the margin for the next year will be more in line with our fourth quarter.
Andrew Strelzik: Great. Thank you very much.
Operator: Our next question comes from Priya Ohri-Gupta with Barclays. Please, you may goahead.
Priya Ohri-Gupta: Hi, good morning. Thank you so much for taking the questions. Guilherme, one just clarification, if you could help us out. So, if we think about Slide 15 where you walk through some of the debt issuance and debt reduction activity that's happened in calendar 2025. It looks like you guys issued about $1.9 billion in debt and then have repaid about $2 billion. That includes the $850 million that was announced last week. Is that the right way to think about it? Or is that $850 million on top of the $2 billion that you have highlighted on Slide 15?
Gilberto Tomazon: So, basically, we issued $1.75 billion, then we issued BRL800 million. So, converted is more or less the figure that you mentioned. And then, we already paid $1.1 billion in trade finance and now announced $850 million of the bond call exercise. So more or less $2 billion of new issuance and $2 billion of redemption. In fact, we also have a remaining part of the call of the bonds that we exercised of around $480 million. That in case of cash generation in the next quarter, we can -- we may be exercising this call still in this year.
Priya Ohri-Gupta: Okay. Thank you. And then, I think in the filing, you mentioned that the $150 million was contingent on the receipt of the PPC dividend. But that would seem incremental in terms of $1.2 billion? And then, at CAGNY, you had also talked about potentially using $1 billion of free cash flow, if there were no M&A activities to think about debt paydown. So, I guess, could you help us think through over the course of the year? Like, is it just the remaining $450 million that's on the 2030s that could be repaid? Or is there a higher amount that we should think about in aggregate just given some of the moving pieces that you have with the share buyback and the growing dividend?
Gilberto Tomazoni: I think it's too early to say. Let's say, throughout the year, what are the opportunities and the cash generation. Of course, the call exercise is the most easy ones to do because I don't need to do a tender, and I have the sureness of that we'll draw the notes. So again, let's see, it depends throughout the year, how we see the developments. If okay -- having more cash generation, we can -- then we will be looking at capital allocation. But I think it's too early to say given that the first quarter is always the quarter that we -- seasonality, we consume cash.
Priya Ohri-Gupta: Okay. That's very helpful. And then, just one for you, Wesley. Could you share with us what you guys are seeing around foodservice in terms of some of different proteins and demand that you're seeing from consumers. We're just getting some sort of mix to more cautionary commentary from some of the branded CPG guys. So would love to get your perspective on that.
Wesley Batista Filho: Yeah, Priya. We are seeing the difference, not as pronounced as maybe you're hearing maybe from other companies between foodservice and retail, retail being stronger. But actually, our foodservice business is growing a lot. It's probably we're gaining share. We're going to be more participative in this market. We've heard similar in the market to what you're saying. But overall, we're actually advancing in this market and producing more and then selling more to foodservice. So, we're probably just gaining share in this market given the information we're gathering the market.
Priya Ohri-Gupta: Great. Thank you so much...
Gilberto Tomazoni: We see a strong demand for protein globally in all of the markets, chicken, pork, beef, I think this is a tendency. The people eat more protein.
Priya Ohri-Gupta: Thank you.
Operator: Our next question comes from George Bailey with Lord, Abbett. Please go ahead.
George Bailey: Sorry, my question has been answered. Thank you.
Operator: Our next question comes from Isabella Sun with Mizuho Group. Please go ahead.
Isabella Sun: Hi. So, in the U.S. Beef business, the $200 million of CapEx upgrades to the two beef processing facilities, we are wondering how is that going to improve efficiencies and value-add. And what will it enable JBS to do differently? And if there's any opportunities for similar investments and improvements in the U.S. pork? Thank you.
Wesley Batista Filho: Hi, Isabella. Good morning. On the beef side, these two investments are -- we've invested a lot in the last year in our Grand Island, Nebraska plant, which was -- which is out of our beef plants, the largest in the U.S. Now, we're investing the next two largest plants we have. Here in really, if cattle getting heavier than every -- since the last years here, cattle becoming heavier and heavier, our distribution center has become a bottleneck in this plant. So affecting customer service and sometimes the volume will be able to obtain in the Colorado plant here. So, our part, $50 million of that $200 million would be the investment in building a new distribution center here, which would remove that big bottleneck for us and improve our customer service for customers. And in Texas, the $150 million would be a new fabrication room, which would be -- bring it to probably be the most modern fabrication room in the U.S. And it would open also space for us to increase our ground beef production and be able to do more cuts and be ready for more value added in the future with smaller primals with more value-add in our product that we process there. So that's a very -- those -- with those two investments are beef plants in the U.S., especially our big -- our larger beef plants in the U.S. are going to be among the most modern plants in the country and ready for the future. We don't do these investments thinking about the next two years, the next three years, we're looking really at this business for the next decades to come in, we want to make sure our plants are really ready for that. And look, our Pork business is a business that we've grown a lot in the past. We've just invested a lot in the prepared foods side of it. We have two plants that were greenfield plants that we built. Now they are very, very -- one is mature, 100%. The other one is really close to being 100% mature and with ramped-up volume. So, we've had good success there. We're going to continue to evaluate ways for us to continue to add value on Prepared Foods in this part of the business and to continue to increase our business in Pork as well as a business that we really enjoyed and it has a lot of -- it's one of our most consistent businesses in performance and it's for sure a business that, given the opportunity, we're going to look at -- continue to grow.
Isabella Sun: Great. Thank you so much.
Operator: Ladies and gentlemen, there being no further questions. I would like to pass the floor to Mr. Gilberto Tomazoni. Mr. Tomazoni, you may go ahead.
Gilberto Tomazoni: Thank you all for joining our earnings call. We are very pleased what the results we are delivering. As I mentioned at the top of the call, we are creating the value-driven growth and investing in differentiation keys to sustainable expanding our margin. We delivered what we said, we would -- reducing leverage and cutting that in a time of significant global shift our diversified platform is a powerful asset to enable us to navigate in the complexity across the market. And I will take the opportunity also to thank our team. Whenever I ask about our strategy, my answer is always the same. Our strategy is to have the best team. So thank you to our more than 275,000 team members around the world and are making these results possible. Thank you so much.
Operator: This is the end of the conference call held by JBS. Thank you very much for your participation, and have a nice day.